Operator: Good morning, ladies and gentlemen. Thank you and welcome to the Enerplus Corporation Yearend 2014 Results Call. All lines are currently in a listen-only mode. After the speaker's remarks, there will an opportunity for questions and answers. [Operator Instructions] I would like to now turn the call over to Jo-Anne Caza, Vice President, Corporate and Investor Relations. Please go ahead.
Jo-Anne Caza: Thank you, operator, and good morning, everyone. Thanks for joining us this morning. Ian Dundas, our President and Chief Executive Officer, will be providing an overview of our yearend operational, financial and end results this morning. He will also discuss our revised outlook for 2015 given the significant drop in commodity prices since our guidance released in mid December. Also with us on the call this morning is Ray Daniels, Senior Vice President of Operations, who will also give some additional detail on our capital spending and operational performance in 2014 and the outlook in 2015; Eric Le Dain, Senior Vice President of Corporate Development, Commercial, who will provide some additional color on curtailment in the Marcellus and Rob Waters, our Senior Vice President and Chief Financial Officer. Our financials have been prepared in accordance with United States generally accepted accounting principles. All the discussions of production volumes today are on a gross company working interest basis and all financial figures are in Canadian dollars unless otherwise specified. All reserve information that we'll talk about today have been prepared under Canadian Standard National Instrument 51-101and on a gross working interest basis using forecast prices in cost as provided by our independent reserve evaluator. Conversions of natural gas to barrels of oil equivalent are done on a 6:1 energy equivalent conversion ratio, which does not represent the current value equivalent. The information we're discussing today contains forward-looking information. We ask listeners to please review our advisory on forward-looking information to better understand the risks and limitations of this type of information. This advisory can be found at the end of our news release issued this morning and included within our MD&A and financial statements filed on SEDAR and EDGAR and also available on our website at enerplus.com. Following our discussion, we'll open up the phone lines and answer questions you may have. And we'll also have a replay of this call available later today on our website. With that, I'll turn the call over to Ian.
Ian Dundas: Thanks Jo-Anne. Good morning, everyone. Thank you for calling in. we appreciate your time this morning. I would like to leave you with two messages today. First, we delivered another impactful year of operational and financial performance in 2014. This included a strong Q4 and exceptionally strong reserve performance. Second, as we navigate through the current market, we are taking proactive actions to ensure we maintain our financial strength and enhance value for our shareholders. So let's start with the recap of 2014. Production grew by 15% or 13% per share, driven by strong performance once again in the Bakken and the Marcellus. We met our upwardly revised production targets averaging just over a 103,000 BOE a day, despite selling 3500 BOE a day of non-core assets and despite voluntarily curtailing production in Marcellus that averaged approximately 5,000 BOE a day in the second half of the year. Funds flow grew by 14% or 12% per share due to the growth in production and the strength of our hedging program. Capital spending came in under guidance at $811 million as we slowed down activity in the fourth quarter in response to the drop in commodity prices. We ended the year in a very strong financial position with a debt to trailing 12-month fund flow ratio of 1.3 times and less than 10% of our $1 billion credit facility drawn. We achieved another year of strong organic reserve replacement at very competitive costs. 2P reserves grew by 7%, 6% per share representing a 175% production replacement. Proved reserves increased by 9% and now represent two thirds of our reserve base. Proved producing reserves also increased up by 11% and now represent about half of our total reserves. The majority of our reserves growth came from Fort Berthold and the Marcellus. Strong well performance throughout 2014 drove significant positive technical revisions in both plays. We added 75 million BOE of 2P reserves through our development activities. This led to F&D costs of $9.80 per BOE including future development capital for a recycle ratio of 2.7. FD&A cost were also attractive at $8.62 per BOE. Strategically, we continue to high-grade our portfolio throughout the year with the divestment of non-core gas assets at attractive prices. Our 2014 divestment program realized net proceeds of $204 million at a metric of $19.65 per BOE. We also increased our contingent resource estimates by 86 million BOE, bringing our total to 449 million barrels of equivalent. This increase was largely from our oil assets in North Dakota. Finally, in addition to our strong operational financial performance, we also established a very healthy hedge position for 2014 – sorry, for 2015. So a large percentage of both our oil and gas production is currently hedged at prices well above current market. Okay, so now let’s look forward to 2015. This strong performance in 2014 has put us in a position of strength as we enter this year. But as we continue to experience significant commodity price weakness, we’re adjusting our plans to preserve value in the near-term and ensure the financial strength of the company. First, we’re further reducing our capital spending, we’re now forecasting $480 million of capital spending, which represents a 40% reduction from 2014 levels and is $150 million lower than our current guidance. Although a portion of the reduction relates to cost savings that we’re now seeing, the large majority of the reduction is based on lower activity in the Marcellus and the Bakken. Secondly, we have entered into agreements to sell two non-core properties producing approximately 1900 BOE a day of primarily oil production, for proceeds of a $182 million before closing adjustments and transaction costs. We expect these transactions to close early in the second quarter. Third, we’re planning for high levels of production curtailment in the Marcellus in this low natural gas price environment. We believe dialing back our production when prices are lower allows us to retain the value of our assets and provides us with the flexibility to increase production quickly as gas prices strengthen. And finally we’re reducing our monthly dividend to a more appropriate level. Effective with the April payment, we’re reducing our dividends to $0.05 per share from the current level of $0.09 per share. We know that the dividend is important to our investors and it will continue to play a role in our strategy to deliver value to our shareholders. We did not take the dividend reductions lightly, but believe the new level of $0.05 per month is a more sustainable and appropriate level in the current commodity price environment. As a result of these proactive steps, we’re revising our 2015 annual average production guidance range to 93,000 to 100,000 BOE a day with oil and liquids representing between 42% and 44%. Our year-over-year production volumes will actually be effectively flat, excluding the impact of the voluntary production curtailment in the Marcellus. These actions have clearly improved our financial flexibility, including the proceeds from divestments our capital program and dividend are effectively funded this year under forward prices with an adjusted tail ratio of below 100%. We expect our debt level at year end 2015 to be essentially unchanged from year-end 2014. Although with lower cash flows, we expect the higher ratio of debt to funds flow. We forecast our debt to trailing 12-month funds flow ratio will be about 2.2 times at year end 2015 assuming a WTI price of $55 per barrel and NYMEX gas price of $2.75 per Mcf and a U.S. to Canadian dollar exchange rate of 1.25. And now, I’ll pass the call over to Ray to provide some details on our operating activities in 2014 and our plans for 2015.
Ray Daniels: Thank Ian and good morning, everybody. What I would like to leave you with today is that one we continue to deliver improved operational execution in 2014 and two, our organization is focused on spend discipline in 2015 in both our capital programs and our operating activities. In 2014, we drilled 88 net wells during the year, 65% of which were directed to crude oil drilling. As a result, our average liquids production increased 5% to 43,800 barrels a day and at the end of 2014, liquids represented 42% of our annual average production. In North Dakota where we spent 42% of our capital, we continue to deliver industry leading well performance at Fort Berthold. This is achieved by advancing our completion design, optimizing our drilling density design and testing the lower benches of the Three Forks. Both our 30-day and 60-day initial production rates were 20% higher on average than our high case type curve and our total Fort Berthold production increased by almost 30% year-over-year averaging 21,700 barrels of oil equivalent per day. Well cost did initially trend higher as a result of increasing the number of frac stages and volume of propane pumped but we saw meaningful reductions in the order of 8% in the latter part of the year. These savings were primarily driven by the efficiencies of pad drilling. In fact the five wells we drilled and completed on the Turtles/ Butterflies pad at the end of 2014 averaged to $12.1 million U.S. each. The combination of increasing initial production and reducing capital cost drove a 25% improvement in capital efficiencies year-over-year and by the end of 2014, we drilled 27.2 net wells and brought 18.4 net wells on stream at Fort Berthold. We also completed a rigorous Forth Berthold resource assessment early in 2014, resulting in a significant increase in our estimate of discovered original oil in place by 500 million barrels to 1.5 billion barrels. With an estimated recovery factor of 15%, this enabled us to increase well density and therefore meaningfully increase the number of drilling locations by around 127%. With the revised resource assessment and improved well performance, we added approximately 25 million barrels of oil equivalent of proved plus probable reserves inclusive of extensions and technical revisions at the end of 2014. This equates to replacing 2014 production by over 300% with an average F&D cost of $16.87 per BOE including future development capital. In addition, we added 76 million of barrels of oil equivalent of economic best estimate contingent resource, an increase of almost 200% versus December 31, 2013, bringing our new best estimate of contingent resource to 115 million barrels of oil equivalent. Turning to our operations in the Marcellus, wells continue to outperform in this core area as well. Take the frac spacing and increased proppant resulted in a positive impact on well performance. Thirty day initial production rates averaged 11 million cubic feet per day in 2014 compared to 10 million cubic feet per day in 2013, and despite the increase in frac stages and proppant, on average, total well costs in 2014 were roughly $1 million lower per well than in 2013. With the additional working interest acquired in December of 2013 and as a result of our drilling program, production doubled year-over-year from about 15,000 barrels of oil equivalent per day to over 30,000 barrels of oil equivalent per day despite average curtailments of 5000 barrels of oil equivalent per day in the last half of 2014. We currently have a total of 13.7 net non-operated wells waiting to be tied in. Proved plus probable reserve additions and revisions in the Marcellus were over 300 Bcf at the end of 2014 replacing nearly 450% of production at the lower F&D cost of just under $0.50 per Mcf, including future development capital. And despite the decline in natural gas prices, our best estimate of economic contingent resource increased from 1.3 Tcf to 1.4 Tcf at year end, driven by strong well performance and higher expected ultimate recoveries. In addition, overall experienced wide basis differentials which reduced the netback, our recycle ratio was a very attractive 3.6 times. In Canada, we continue to invest in our crude oil waterflood portfolio during 2014. At Brooks, we drilled 14 wells targeting the lower Lower Mannville sands as part of a 55 well development program. Early production performance has been positive with average results in-line with our expectations. At Medicine Hat, we continued to develop the Glauconite C waterflood where we drilled seven injection wells and seven producing wells as part of a waterflood expansion project. Results from this drilling activity, as well as our polymer project continue to exceed expectations. Canadian gas activities were directed at the Wilrich and the Duvernay. We drilled 3.2 net wells in the Ansell area targeting the Wilrich, and in the Willesden Green area we drilled two horizontal wells targeting the Duvernay. Turning to our 2015 plans, as I mentioned we are focused on spend discipline. First, we have been very strict on capital allocation. And secondly, we are working to maximize savings in all areas of spend. The result is that we have reduced our capital spending program significantly in 2015 to $480 million, a 40% reduction in 2014. The $480 million has some cost savings factored in, but the majority of the reduction is from our current guidance at this level of activity. With respect to our operating activities of Fort Berthold, we will be dropping our rates at the end of Q1 and we will continue with only a one rig program for the remainder of 2015. We have also reduced the number of completions, primarily to those deemed essential. This minimizes spend and also build an inventory of about 16 wells by the end of 2015 that we can bring on-stream expeditiously when market conditions improve. In the Marcellus, we are reducing activity significantly resulting in approximately a 75% reduction from our 2014 spend. With current gas prices, our plan also includes a continuation of production curtailment averaging between 6,000 and 7,000 barrels of oil equivalent per day in 2015 and Eric will talk a little about that later. The curtailment will moderate our decline rates and enable us to ramp up production quickly when natural gas prices improve. Canadian activity in 2015 has also been minimized with effectively only two operated drilling programs planned. We have our three will program also in our top-tier area in the Wilrich that will be completed by the end of Q1. The second program is at Brooks, targeting the Lower Mannville. This program will continue into Q3 and is primarily driven by lease expires. In addition to these programs, we have some funds allocated to new facility construction, facility maintenance and well optimization within our waterflood portfolio. With respect to cost savings in 2015, our supply chain organization is very active working with our vendors exploring ways to save costs. This is including direct negotiations with key contractors, bidding or re-bidding work and written communications with lower spend contractors. We have a very positive response from our vendors and have secured savings across the board ranging to as much as 40% on a contractor-by-contractor basis. Currently, we are seeing bottom line savings in the order of 10% to 15%, but anticipate savings could rise to as much as 15% or 20% if the current business environment persists. In addition to cost savings, we are also targeting technology to help our cost structures and some examples in our Fort Berthold operations include using insulating time covers on our fracs jobs, using natural gas instead of propane for water heating and special frac plugs that don't require drilling out. These three modifications alone could reduce our completion costs by as much as 300,000 per well. Suffice to say, our staff across operations are focused on driving costs out without compromising economics or safety. With that, I'll now turn over to Eric.
Eric Le Dain: Thanks, Ray. I'll just a few brief words concerning the Marcellus curtailment, as both Ian and Ray have mentioned we foresee curtailing production at the levels of 6000, 7000 barrels of oil equivalent per day of Marcellus production on average in 2015. We just are not prepared to produce all of our capability into this low price market. Therefore we see production on average somewhere between 170 and 190 million cubic feet a day. The 6000 to 7000 barrels of oil equivalent per day level of curtailment is based on our December and January experience and are view that NYMEX and Marcellus prices will remain soft through 2015, due to the oversupply in the Northeast and across the wider continent. Our projected net level of production provides about $40 million of net operating income from our Marcellus production at current forwards roughly about US$2.75 and MMBtu NYMEX we quote and roughly $1.25 basis differential. This level of spend is enough to roughly offset the decline in the Marcellus for projected production on an annual average basis. We're spending about -- projecting spending in the lower $40 million range. It doesn't quite balance decline on an exit-to-exit basis. Do we foresee curtailing production into 2016? At the moment we do. Infrastructure as you know continues to be built to take gas away from the Northeast. So there's no question the industry can absorb some level of growth year-over-year. In the end though it comes down to whether competitors act as we and our partners are doing to limit production into this market environment. Indeed we are seeing similar behavior and announced reductions in spend across the competitive world there. And with that, I will turn it back to Ian.
Ian Dundas: Thanks, Eric. Before I turn it over the questions, I'll just wrap up. We believe that our primary job in the current environment is to ensure our financial strength and to focus on maximizing shareholder returns. We believe that the steps we are taking have positioned Enerplus to withstand a low oil and gas price environment, which could potentially continue past 2015. Although our plan will have a modest implications to near-term cash flow, we believe we are taking the right steps to position Enerplus to not only weathered this downturn, but potentially capitalize on opportunities as we see them. We retain significant flexibility and are well positioned to re-establish production and dividend growth as market conditions improve. Although this may be seen as conservative, we view it as prudent. And with that, I will turn the call over to the operator and we are here to answer any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Greg Pardy with RBC Capital Markets. Your line is open.
Greg Pardy: Thanks, thanks, good morning. Just a number of [indiscernible] questions, but Ian I am wondering could you lay out what you think your spending trajectory looks like just over the course of 2015, I mean, on a quarterly basis. Rough numbers are fine?
Ian Dundas: Sure. We will have 90%, 60% done, sorry [that way] [ph], use real numbers here, we will be more than half done as we move into the second quarter and a good 70% to 90% done as we move through the summer. Very limited spend in the fourth quarter.
Greg Pardy: Okay. Okay. Which is kind of brings me to the next question, I think the Marcellus speaks for itself in terms that you can bring on additional volumes kind of as and when you want to. With the one rig program now in the Bakken, what does that mean in terms of an exit rate, approximate exit rate? And then I guess to balance that rate we're seeing where you've got a number of wells, I think it’s 15 or 16 wells you will be able to bring on quickly, but just trying to understand those dynamics a bit better?
Ian Dundas: Yes. So, we don't talk exit-to-exit too much, but down a bit. I think the key message we would want people to retain is one of flexibility here. And so we will have -- we already have a bit of an inventory. We're going to have a bigger inventory holes in the ground as we move to the end of the year. Ray talked about 16 wells, those aren't instantaneous completions, but that could come on really quite quickly. And so is there a possibility we will adjust again this year? Absolutely, that's a possibility if we see price response. We are already seeing costs come down. Our completion last year in the $12.1 million Ray referenced that completion was $8 million of that approximately, now that's probably $6.5 million and you know, the longer we stay in this price environment, the more that we see in potential improvement coming there. So, I'd say it's not the same as literally dialing up currently producing wells in the Marcellus, but there is a lot of flexibility to bring more than 10 wells on. Our expectation is, I don't know, we're going to see how the market responds. But we can move pretty quickly there. And so when you think about 2016 and which we're not really talking about explicitly, but obviously this is a plan that positions us much better for 2016 if this continues. So in a modest price environment 2016 what will happen there, lower spend will happen there as well obviously. And so as we think about a 2 rig program versus a 1 rig program in a lower spend area that 1 rig program we think gives us enough inventory in 2016 as well.
Greg Pardy: Okay, great. Thanks for that. The waterflood you sold or the assets you sold - about a 7% decline on that. Can you just remind us what your corporate decline would sit at now, approximately?
Ian Dundas: We still talk 25% and that's not a bad number to think about. Selling 1900 barrels a day of low decline, I don't think we said 7%, but in an event, low decline assets moves it a little bit, I think 0.3% or something along those lines and then as Eric talked about this curtailment in the Marcellus is a tricky thing to think your way through. So at the upper levels of curtailment you actually have quite a modifying effect on decline, but again that changes on a -- could change on a monthly basis as we bring it back on. But net-net, I would say 25 is a good number to be thinking about.
Greg Pardy: Okay. And then maybe just to define curtailments right now, so essentially those are wells that you've drilled, completed and they are essentially just awaiting connection? Or would it be further back in the process? I am just trying to understand what -- how you define curtailment?
Ian Dundas: Curtailment as we define it are wells that are -- have produced - that we are producing at a level other than their productive capacity. Not their theoretic productive capacity, but their actual productive capacity. Think about just choking it back and so on a day basis we could see 10,000 BOE a day of swing. I mean, you saw fair amount of volatility in the fourth quarter and it was a lot of stuff that was going on in fourth quarter in terms of first pipe expansion and then some really weak day prices that were happening in December. But over averaged in the fourth quarter we saw that 6000 to 7000 BOE a day. So, today production is reasonably high, as we're seeing a weather event in the east, but in January was down a bit as it wasn't there, so.
Greg Pardy: Okay. And that's 100%, 60000 to 7,000, that's 100% gas?
Ian Dundas: Yes.
Greg Pardy: Okay. And two last quick ones for me. Just the production guidance you got out now, is that -- that's inclusive of the 1900 BOE a day that you are selling?
Ian Dundas: Yes.
Greg Pardy: Okay…
Ian Dundas: And it assumes early Q2 close.
Greg Pardy: Okay, perfect. And the last thing just on -- just with respect to liquidity, I mean, you balance sheet has actually been in good shape all along, even better now. But can you just remind us on your liquidity what your covenants are around that?
Ian Dundas: Sure. I'll turn that over to Rob Waters.
Rob Waters: Okay. And Greg, actually in our and MD&A this time, we actually laid out what the covenants are and where we were with respect to the covenants at the end of 2014. So that material is in there, I think it's around -- under liquidity and capital resource section. So the covenants on our senior bank facility which is a $1 billion facility, we can take our senior debt to EBITDA which is earnings before interest taxes and depreciation whatnot to 3.5 times, but we can only do that for six months and then it has to come down to 3 times. And then at the end of the year we are running at 1.3 times. And that's sort of the most, that's the covenant we watch the most, the other covenants wouldn’t cause us much trouble at this time. We also have a total debt to capitalization covenant and the maximum ratio there is 50% and we're running at 26% right now. And on our senior notes we have fairly similar covenants of that 3 to 3.5 times of senior debt to EBITDA, but we also have a maximum debt to consolidated net present value of total proved reserves and that ratio is at 60% and we're currently running at 37% at the end of the year. And then there's an interest coverage ratio, EBITDA to interest, and the minimum ratio, minimum there is 4 times and we're running at 14.4. So really we're not worried about our covenants at this stage. Our balance sheet is in good shape. We ended the year at a 1.3 times debt to funds flow and that was pretty close to what you'd call a debt to EBITDA at that time as well.
Greg Pardy: That's great. Thanks, all.
Ian Dundas: Thanks, Greg.
Operator: [Operator Instructions] There are no further questions. I will now turn the call back over to Mr. Ian Dundas, President and CEO.
Ian Dundas: Great. Well, appreciate everyone's time today. And I hope you have a great weekend. Thank you for paying attention.